Operator: Welcome to the FY ‘18 First Quarter Earnings Call for Richardson Electronics. I would now like to hand the call over to Edward Richardson, CEO. Please proceed, sir.
Edward Richardson: Good morning and welcome to Richardson Electronics conference call for the first quarter of fiscal year 2018. Joining me today are Robert Ben, Chief Financial Officer; Wendy Diddell, Chief Operating Officer; Greg Peloquin, General Manager of our Power and Microwave Technologies Group; Pat Fitzgerald, General Manager of Richardson Healthcare; and Jens Ruppert, General Manager of Canvys. As a reminder, we are recording this call and will be available for audio playback. I would also like to remind you that we will be making forward-looking statements and they are based on current expectations and involve risks and uncertainties. Therefore, our actual results could materially. Please refer to our press release and SEC filings for an explanation of our risk factors. The first quarter was the nice start to our fiscal year. Historically, Q1 is a lower revenue quarter given summer holidays, particularly in Europe, but sales were strong over the past several months with $37 million of revenue at 32.8% margin. All three of our business segments performed better than prior year. Greg Peloquin and his team realized growth in both EDG and PMG. We have been investing in new supplier relationships for PMG and we are now expanding our customer base and realizing sales from design wins generated in FY ’17. Canvys under Jens Ruppert’s leadership had an excellent quarter with significant year-over-year sales increases coming from both existing and new custom display customers. Pat Fitzgerald and the healthcare team also generated year-over-year increases in CT replacement parts and equipment sales. The sale of our PACS business late in the fourth quarter reduced healthcare sales in the first quarter. Our executive management team remains focused on returning the business to profitability in FY ‘18. We realized a smaller operating profit in Q4 FY ‘17 and now again in Q1. We are certainly not satisfied, but these small victories create a sense of pride and help lay the groundwork for better performance each quarter. I will now turn over to Bob Ben to discuss our first quarter financial performance in detail.
Robert Ben: Thank you, Ed and good morning. I will review our financial results for our first quarter of fiscal year 2018 followed by a review of our cash position. Net sales for the first quarter of fiscal year 2018 were $37 million compared to the prior year’s first quarter of $33.4 million. There were 14 weeks in the first quarter of fiscal 2018 compared to 13 weeks in the first quarter of fiscal 2017. Net sales increased $3.7 million for PMT and $1.1 million for Canvys partially offset by a decrease of $1.2 million for Richardson Healthcare due to the sale of the PACS Displays business at the end of fiscal 2017. Gross margin increased to 32.8% of net sales from 30.7% of net sales in last year’s first quarter primarily due to a favorable product mix in both PMT and Richardson Healthcare. These increases were partially offset by lower Canvys gross margin that resulted from an unfavorable product mix. Operating expenses were $12.3 million for the quarter, the same as last year’s first quarter. This quarter did include an additional week of salary and benefit expenses as compared to the first quarter of fiscal 2017. In addition, there was a $0.2 million gain on the sale of the building in Florence, Italy. As a result, the company reported a $15,000 operating income for the first quarter of fiscal 2018 compared to a $2.1 million operating loss in the first quarter of fiscal 2017. Other expense for the first quarter of fiscal 2018, including foreign exchange loss in investment income was $0.1 million compared to $0.3 million for the first quarter of fiscal 2017. There was an income tax provision for the quarter of $0.1 million, which reflected a provision for foreign income taxes and no U.S. tax benefit due to the valuation allowance recorded against the net operating loss. The tax provision of $0.5 million in the first quarter of fiscal 2017 included a provision for foreign income taxes, additional tax due from an audit in France, adjustments from various tax returns filed in foreign tax jurisdictions, and no U.S. tax benefit due to the valuation allowance recorded against the net operating loss. Overall, we had a net loss of $0.1 million for the first quarter of fiscal 2018 as compared to a net loss of $2.9 million in the first quarter of fiscal 2017. Turning to a review of our cash position, cash and investments as of September 2, 2017 were $61.4 million, which was a decrease of $2.8 million from the end of fiscal 2017. Cash and investments were $66.3 million at August 27, 2016. We had capital expenditures of $1.0 million in the first quarter of fiscal 2018 compared to $2.1 million in the first quarter of fiscal year 2017, approximately $0.5 million related to our investments in our healthcare growth strategy, $0.4 million to our IT system and another $0.1 million for other projects in the first quarter of fiscal 2018. Lastly, during the first quarter, we paid $0.8 million in dividends. A couple of final comments. Similar to last year, Ed has asked me to lead key company initiatives focused on improving profitability and increasing our cash flow worldwide. Some of these key initiatives for this year will include improving customer product margins, reducing IT expenses, reducing inventory and reviewing options for repatriation of foreign cash. Now, I would like to turn the call over to Greg Peloquin who will discuss the results and plans for our Power and Microwave Technologies Group.
Greg Peloquin: Thank you, Bob. Good morning, everyone. In the first quarter of FY ‘18, PMT sales were $29.1 million versus $25.4 million in Q1 FY ‘17. Based on strong bookings throughout FY ‘17, our business grew 14.7% over prior year and we ended the first quarter with a very healthy 1.26 book-to-bill. Factoring in the extra week in Q1, sales per day increased 7% compared to prior year. In addition, our margin improved to 32.9% compared to 29.4% in Q1 of last year. Our improvement in performance is driven by sales growth within our core electron device businesses as well as growth from our technology partners we have added over the past couple of years. We are taking advantage of our long-term customer relationships as well as forming new ones as we expand the product range. Favorable market conditions and internal actions to improve margins, efficiency and inventory turns are also contributing to our year-over-year growth. We are experiencing market share gains and revenue growth for products in both our business units driven by demand in the industrial and radar defense market with key suppliers like CPI, Qorvo, Thales, MACOM and Anokiwave. More specifically in industrial market applications include lasers, welding and industrial heating are contributing to our growth. 5G is still in development. However, we are seeing some prototype orders for test equipment in the tenant development to support this infrastructure rollout. The CTD market has also picked up with a number of new design wins. The semiconductor wafer bed equipment market continues to grow at nearly 20%. This growth is driven by demand for engineered solutions and components. We are also excited about continued strong overall booking trends with our new technology partners. And looking at our growth and design wins we track on a global basis, it is clear our team has done a good job identifying key suppliers, niche markets and applications and top engineering resources in the field to support this growth. We are adding many new customers each quarter. When combined with our backlog, it makes us very confident our growth in revenue and backlog will continue. In addition to focusing on profitable growth through targeted sales and marketing programs, we continue to maximize the use of our existing infrastructure and improve our inventory turns by concentrating our sales efforts on a limited number of supplier partnerships with disruptive technology. We know them and their technology well and are finding new opportunities for them everyday. There is question that we have an unparalleled capability and a global go-to-market strategy that is unique to the RF and power industries. We can support this fact by our growing list of customers and technology partners who choose Richardson Electronics. Our world leading position in the manufacturing and distribution of electron devices supports legacy equipment as well as new equipment where solid state cannot replace tubes. The markets we address needs Richardson’s capabilities for electron devices, but also solid state technology and our design and manufacturing solutions. We have key suppliers in place as well as global field engineering group and the infrastructure to support our customers’ needs throughout the world. And with that, I will turn over to Pat Fitzgerald, Richardson Healthcare.
Pat Fitzgerald: Thank you, Greg and good morning everyone. Healthcare sales in the first quarter of fiscal ‘18 were $2.1 million, down 37.5% from prior year sales of $3.4 million due to the sale of our PACS Display business offset partly by increased sales of Richardson certified and refurbished CT tubes and equipment. Gross margin as a percentage of net sales increased to 48.8% in the first quarter of fiscal 2018 as opposed to 42.6% in the same period last year primarily due to the sale of the PACS Display business which generated lower margins. Healthcare providers globally are under intense pressure to reduce costs. In this environment, hospitals continue to seek ways to reduce equipment maintenance costs, exploring alternatives to OEM service. As a result, there is a growing demand for an alternative source to the OEMs for replacement parts and service. We estimate the global market for diagnostic imaging replacement parts and service to be between $7 billion and $8 billion annually. Our strategy in healthcare is to play a significant role in the development and sale of diagnostic imaging replacement parts around the world. We entered the parts space in 2015 with our acquisition of IMES and has since been able to leverage the company’s infrastructure, including the use of our global supply chain, our manufacturing capabilities and worldwide local sales offices. The investments we are making and the production of new CT tubes and other high value components, including the addition of experienced engineers and specialized manufacturing equipment are the key to the long-term success of this strategy. Sales of Richardson certified and refurbished CT tubes were up compared to prior year. More importantly, we made good progress in bringing the new CT replacement tube into production. Creating a sustainable supply of CT tubes will ultimately lead to more rapid sales growth in both replacement parts and tubes as alternative service providers are able to take system maintenance away from the OEM. Replacement parts sales were down in the first quarter compared to prior year, but up compared to the previous quarter. Parts sales are cyclical and there can be significant variation from one quarter to another. Service training revenue was up in the quarter and we trained twice the number of engineers on how to maintain CT scanners as we did last year. The fast pace of service training has continued into Q2. We believe this uptick in training is an early indicator that more hospitals and service companies are interested in servicing CT equipment as we near production of our new CT tube. Sales in Europe were also up in the quarter. We recently completed our third training class for engineers at our parts and training center in Amsterdam. We expect strong growth in Europe to continue as our European service partners are taking on additional CT scanners. Finally, equipment sales were up again in the quarter. While equipment sales traditionally than replacement parts sales, these sales represent additional sockets that we can sell replacement parts and tubes into in the future. We believe that selling prices and margins for pre-owned equipment may rise as alternatives to OEM service, including parts and tubes emerge for these systems. Our P3 Parts contracts which we launched in the fourth quarter of fiscal year ‘17 have been well received so far. The P3 Advantage is an exclusive supply agreement and the P3 Protect is designed for customers who want replacement parts and tubes coverage in exchange for a fixed monthly fee. We have contracts for both types pending with customers now. P3 customers will gain preferred access to what will initially be a limited supply of CT tubes. We expect P3 Protect contracts to create a recurring revenue source for our parts business, while allowing our customers to budget and have predictable replacement part and tube costs. With replacement parts, CT and x-ray tubes service training, wireless DR upgrade solutions as well as power grid tubes, coil repairs and cryogenic solutions for MRI systems, Richardson Healthcare has established excellent relationships with hospitals and independent service organizations on a global basis. Over the past several years, we have significantly strengthened our value proposition for healthcare providers looking to provide lower cost and increased efficiency. We remain open to additional acquisitions in this market and are focusing on companies with models that can be expanded internationally. We are also evaluating additional partnerships and organic investment in product line expansion in segments that we feel are underserved. I will now turn the call over to Jens Ruppert to discuss Canvys first quarter results.
Jens Ruppert: Thanks, Pat and good morning everyone. Canvys, which includes the engineering, manufacturer and sale of custom displays to original equipment manufacturers in the industrial and medical markets, had sales of $5.8 million during the first quarter of fiscal 2018, an increase of 25% the same period last year. We also increased our backlog substantially this quarter. Gross margin decreased as a percentage of sales to 26.8% from 29.2% the same period last year. The year-over-year gross margin decrease was related to product mix, high inbound freight costs and increased lower margin engineering builds. The division did a good job controlling expenses and to continue to work closely with our Asian partners to deliver the highest quality solutions at competitive prices for our customers. The first quarter of fiscal year ‘18 was a very successful quarter for us. We were successful closing deals that were in development for an extended period of time. During the quarter, we won several new programs from existing as well as new customers in the medical space. Publications such as optical biometry, measuring the anatomical characteristics of the eye, Quad HD displays used on surgical navigation system that enables you to precisely track the location of surgical instruments throughout a procedure, intra-fraction motion review monitors used in radiotherapy and radiosurgery, control displays used in fully integrated operating rooms to control medical devices, and displays for dental treatment chairs. We also won projects in non-medical areas, publications including human machine interfaces for high-speed and high precision billing machines, packaging inspection systems, ticketing machines, CT scanners used at airport security checkpoints, and teleprompter, talent monitors and clocks that are used in the broadcast industry. This last win required us to focus our engineering efforts on features unique to professional television station applications, including custom monitors in incorporating the clock that displays time code information. The special electronics we developed extracts the timing information from a video or audio signal or direct from an IP network. With our recently launched all-in-one products, we received a significant follow-on order for storage and expensive solutions that are installed across OE stores and we also secured a critical new frame contract with one of our major customers in the wood processing field. From the variety of customers and applications and the value of orders from existing as well as new customers, it is certainly clear we offer our customers outstanding products and service. While our sales organization stays focused on new opportunities, I will continue to review and adjust our business strategy with the goal of improving the operating performance of the division. Maximizing cash flow is an ongoing priority. We will continue to work with our partners to help us reduce inventory by being able to meet the demands of our customers. I will now turn the call back over to Ed.
Edward Richardson: Thanks, gentlemen. I believe you covered it all. FY ‘18 will be an exciting year for Richardson Electronics, our employees and our shareholders. The healthcare team is on target to launch new CT tubes later this fiscal year. Having a sustainable supply of CT tubes will generate new revenue stream as well as increase our sales of replacement parts and systems. Our backlog exiting the first quarter is good and our momentum is strong. We are realizing perpetual growth in backlog from our new technologies as well as large orders received from our custom OEM display customers. Our backlog in engineered solutions, including products we manufacture on LaFox, continues to grow as well due to the high rate of growth in the demand for semiconductor wafer fabrication equipment. We will continue to operate conservatively and make full use of our existing infrastructure to support our profitable power grid tube business, our expansion in power and microwave technologies and our healthcare businesses. We will use cash to pay dividends and make additional strategic investments in our key initiatives, which we believe will offer our shareholders the best return on their investment. We are not currently considering any acquisition targets although we remain open to doing so on an opportunistic basis. At this point, we will be happy to answer a few questions. Nancy, may we open up the line for questions?
Operator: [Operator Instructions] You have a question from the line of Mark Zinski. Please proceed.
Mark Zinski: Yes, good morning, everyone and congratulations on the sales growth.
Edward Richardson: Good morning, Mark.
Mark Zinski: First question is for Greg, in terms of PMT, can you potentially breakdown the percentage of sales related to the semiconductor wafer fab business and the percentage related to industrial lasers?
Greg Peloquin: Yes. On the semiconductor wafer fab market about half a dozen customers in the quarter in terms of the total revenue was about 10% of the total number in PMT, however of the increase over Q1 of last year is about 20% to 25% of the increase.
Mark Zinski: Okay. And then what about the industrial lasers like the CO2 lasers?
Greg Peloquin: On the industrial laser side, that’s less than 5% of the total business. And then in terms of the quarter, they had a nice growth and I would say its 5% to 7% of the incremental revenue and bookings that we received.
Mark Zinski: Okay. And then for these semiconductor wafer fab and the laser business, is there any noticeable strength in geography?
Greg Peloquin: I mean, the main geography that’s doing very well is North America. That’s where the ones that we are engaged with heavily are located. But because of our global footprint, we are supporting those companies that are buying and assembling in other parts of the world is another attribute of Richardson Electronics. So, it’s North America mainly right now.
Mark Zinski: Okay. When you guys obviously the investments you made in PMT obviously now are seeming to payoff with the sales growth. Do you have any kind of internal ROI metric that you can reference in terms of what you invested in those new products and what kind of sales that you are achieving?
Greg Peloquin: Yes, the investment was a documented strategy and we have bookings numbers. It was a pure startup as you know we started from zero. So, we looked at what we thought we could book over the next 3 years when we started 2 years ago. We looked at what the billings would be. And then we matched it up with – the investment is really in people and we put together probably the best field engineering team that was available and that continues to evolve. And in addition to that, we signed the key technology partners to support that model and that included some inventory. And so at the growth rate right now we are very close to achieving each of those metrics year-over-year at some point, we will probably come up with the exact numbers and break it out late than we used to, but we are not doing that at this time.
Mark Zinski: Okay. Given the success are you considering more sort of internal investment in new product designs or is that sort of on hold now?
Greg Peloquin: Well, it’s never on hold. I mean, the company has been around 7 years as it’s a very opportunistic driven company. And when opportunities come up, that makes sense from an ROI point of view and a profitable point of view and it’s the company and its investors, we will take advantage of those. I will say that right now we think our line card is strong enough to get us to the numbers that we have discussed. There might be a couple more and we call technology gap and we look at our line card and if we look at our capabilities and if we look at our suppliers. And after talking to customers that we find that it might be a technology gap in terms of product that we are seeing the customer base need, we will go find that. We have one of the best CTOs in the industry that finds you people. So we will probably add a couple over the next 12 months that fill technology gaps. And inventory turns are improving every year, so there is not going to be a large investment where we are getting a lot of traction we are getting lot of bookings. We are adding hundreds of customers a quarter. So we are just going to make sure we maximize this and then look at opportunities when they come up.
Mark Zinski: Okay, thanks. And then Pat on healthcare, exclusive of the PACS sales, if you strip that out, what was year-over-year apples-to-apples growth?
Pat Fitzgerald: It’s great question. It was roughly 8%, 9%.
Mark Zinski: 8% or 9%, okay. Thank you. And then the last question is for Bob in terms of the operating cash flow, I think previously in Q4 you speculated that it probably be about the same in FY ‘18 is that still your thinking at this point or is there a chance for some improvement with the improving inventory terms?
Robert Ben: Well, I believe in the fourth quarter as we generated cash flow from operations I think that’s what you are referring to. Correct?
Mark Zinski: Yes, I think…
Robert Ben: Cash flow from operations?
Mark Zinski: For total cash, yes, operating cash flow, I thought you had speculated that in FY ‘18 operating cash flow would be similar to FY ‘17.
Robert Ben: Full year, the full year last year we generated a total of $1.8 million in operating cash flow. The first quarter we used about $2.4 million, but that was largely due to the fact that the inventory increased even though turns improved in areas, the inventory did increase largely because of the sales growth, which was about 11% for the quarter. So, I do expect some improvement in operating cash flow during the rest of the year and it might not be quite $1.8 million generation of operating cash flow, but it should be close to zero or a small negative amount.
Mark Zinski: Okay, great. Thank you. That’s it for me.
Edward Richardson: Thanks Mark.
Operator: And you have a question from the line of Eric Landry. Please proceed.
Eric Landry: Good morning.
Edward Richardson: Good morning, Eric.
Eric Landry: So Pat, you mentioned that the growth ex the tax would have been 8% to 9%, so if I back that out, PACS was a little bit less than $1.5 million last year of sales?
Pat Fitzgerald: That’s correct.
Eric Landry: Okay. And so Bob on the overall sales line is there any estimate you could make as to how much the extra week gave you. I mean, if I just divide in a linear fashion, it’s a little bit over $2.5 million. Is that an accurate assessment?
Robert Ben: Yes. Actually, when you look at that what I did is I took the extra week and then I also factored in the PACS displays sales that didn’t happen this quarter that of course happened in the first quarter of last year, because we still owned it. And when you make those adjustments for the extra week and also for the fact that we didn’t have the PACS display business this quarter, the sales growth is still 7.2% instead of the 10.8% that we reported.
Eric Landry: Right, okay. Yes, that’s what I get. So, a mid 7% is type of adjusted number.
Robert Ben: Yes, thereabouts.
Eric Landry: Okay. Great, okay, thanks. Greg, you may have answered this, but I am not sure I understood it, is there anyway you could sort of just comment the degree of growth that you get from cyclical factors like the semiconductor market versus your growth initiatives. Is there anything where you could sort of simply break that down?
Greg Peloquin: Yes, really the only cyclical market that gives us any forecasting concerns and an opportunity is the semiconductor wafer fab market and that historically has been very cyclical, but what we have found with the addition of new technologies is our ability to sell more products into these markets. So, the markets will still – could potentially still grow even though the – our business can still grow even though the market might be declining and that’s the kind of the goal, but the most cyclical one is the wafer fab fabrication market and the rest of them 80% of our business today is still MRO and that’s just based on the use of the product and when they need to do repair. When you see certain markets pick up, the housing market that see our CT business pickup, when you see refurbishing of traffic control centers and stuff like that, we have the products and we take advantage of those, I wouldn’t call them cyclical though, Eric.
Eric Landry: Okay. How about if I attack it from this angel, the 1.26 book to bill is up what 11 points from the end of last quarter, how much of that growth do you think is due to the semiconductor wafer fab market?
Greg Peloquin: Of the growth in the book-to-bill about 30%, 30% to 35% were customers that are supporting the wafer fab market. And a lot of that large portion was our largest customer, but there were still other companies that were either building or supporting the people that are building it, so about 30% of the growth was the wafer fab market.
Eric Landry: Okay. And more than half of that is your legacy EDG stuff that’s built there in LaFox, correct?
Greg Peloquin: Yes, more than half of it was products that we build here in LaFox.
Eric Landry: Okay. And I think last, we thought you mentioned that the people you talk were indicating that this cycle was going to go well into calendar year ‘18. Is that still the case?
Greg Peloquin: Well, yes, I mean, in the passage then wafer fab build-outs, somebody is building a new wafer fab, but our customers – end customers are supporting memory chips, field programmable semiconductors that are going into the cloud and IoT applications both mobile and fixed that market is taking off. So, we might see a little bit longer trend. The forecasts we are getting from our key suppliers for this does go into the second half of calendar year 2018. So we are thinking our fiscal year we should see strong growth throughout both in bookings and billings.
Eric Landry: Okay. And then you mentioned something about 5G, is there anyway to determine what type – I don’t know maybe percent of content you have on these sites when they build out these 5G type of antennas?
Greg Peloquin: Yes, historically on any rollout, 3G, 4G, 5G, we have always participated and focused on the infrastructure of that. The handheld business, the mobile part of it, we have not focused on that. And so within that, if you look at the amplifications whether it’s a picocell, a microcell, a full base station, any sort of transmission, the power transistor for the transmit side of that is about 60% of the cost. So, in terms of percent of the market, obviously we have very, very little now, but in the past, when we had this model of the power transistor market, we had 30% to 45% of that market. And right now, what you are seeing Eric is it’s slow. Technology needs to catch up to what they need this to do. On the handset side, we are seeing some more advances than on the infrastructure side. But what we are seeing right now in terms of our activity, I mentioned 5G because that is a market we are monitoring and watching and we have always done very good in, is mainly the antennas, these unique antennas that are needed, whether it’s on a building, on a base station, all the test equipment is our products that test all these products, that’s being developed and that’s where we are seeing natural orders for it. And so right now, I mentioned it because as an investor and it’s always been a big market for us, we are watching it everyday. We are talking to these customers that we have worked with some of them for 20, 25 years. So, when China rolled out their 3G at TD-SCDMA market, our sales went to $140 million in China. So, it’s a big market and we are just going to keep our eye on it, but it’s not of any substance right now, Eric.
Eric Landry: Okay, great. Thanks. Jens, you mentioned your backlog is up substantially. So, should we – I mean that substantially mean 10% to 20%, 5% to 10%, 50% to 60%, is there anything more you could say about what substantially indicates?
Jens Ruppert: Sure. Yes, it’s like 40% for zero.
Eric Landry: Okay.
Jens Ruppert: So, Eric, you have to understand that backlog at Canvys , we are very much into the project business. So, what we do is we get frame orders that are – that have a lifetime of 12 months to 24 months. It really depends on what customer it is. So, we will have peaks of backlog and then customers basically consume the backlog over 12 months, 18 months. So, backlog will go down. But if I even all this out, we have the strongest backlog for long, long time at Canvys.
Eric Landry: So, is it reasonable to assume that this business has assumed a new trajectory that’s not perpetually down?
Jens Ruppert: Yes. So, we have seen – we have won several new programs in Q1 that we ever had before. And on top of that we see an increased demand from customers throughout the world. Actually, Europe is very strong and where we suffered last year in North America we could increase our backlog by 6%. So, that’s also up. It’s very promising.
Eric Landry: And is that driven mainly by the True Flat or is that too simplistic?
Jens Ruppert: It’s mainly driven by the True Flat, but also it’s all in ones that I mentioned on my script.
Eric Landry: Okay, great. Thanks, Jens. And lastly Pat, any idea when you will have a manufactured tube on the bench for testing, is that any time in the not too distant future?
Pat Fitzgerald: I think so Eric. I hope to be at our next call talking about just that.
Eric Landry: Great, thank you. That’s all for me. Thanks.
Pat Fitzgerald: Thanks, Eric.
Edward Richardson: Thanks, Eric.
Operator: And there are no further questions at this time.
Edward Richardson: Okay. Well, thank you again for joining us and for your ongoing support of Richardson Electronics. We look forward to discussing our fiscal 2018 second quarter results with you in January. Thanks very much.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a wonderful day.